:
Analyst: Angie Sedita - Lehman Brothers Marshall Adkins - Raymond James Kevin Simpson - Miller Tabak Geoff Kieburtz - Citigroup Mike Urban - Deutsche Bank Kevin Pollard – JP Morgan Dan Pickering - Tudor Pickering, Holt Ben Dell - Sanford Bernstein Waqar Syed - Tristone Capital
Operator: Good morning or good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Nabors Industries fourth quarter 2007 Earnings Call.(Operator Instructions) And now I will turn the conference over to Mr. Dennis Smith, Director of Corporate Development. Please go ahead Sir.
Denny Smith: Good morning everyone and I would like to welcome everybody to our call this morning. As usual, Gene will do some prepared remarks on the results of the quarter and how we see the outlook going forward at this time. Then we’ll open up the question and answer and try and cut the call off right at the one hour time limit. With us today is, besides Gene and myself is Tony Petrello, our Chief Operating Officer, Bruce Koch our Chief Financial Officer, Bruce Taten our General Counsel and essentially all the heads of the various business units are here. Want to remind everybody also that much of what we’re going to talk about outlooks so it’s all subject to the Safe Harbor and forward-looking statements as best we’ll try and give our view on the business. And with that, I’ll turn it over to Gene to get started.
Gene Isenberg: Anyway, thank you and again welcome to the conference call for the fourth quarter and the year. As usual, we have posted on the Nabors website a series of slides that contain details about the performance of the various segments of the company and you are more than welcome to refer to these as we proceed. Let me begin by commenting on several important big picture milestones reached by the company during the year. You may number that early in the first quarter as a result of an article in the Wall Street Journal, the independent members of the Company’s Board engaged an independent law firm and a leading forensic accounting firm, who together with PWC, PricewaterhouseCoopers reviewed our historical stock-option pricing methodology. This review concluded that management acted appropriately in the granting of options, although some grants required a revision to the measurement date. Most importantly we're able to file our 10-K on time without any restatements. Following notifications by Nabors, we notified the SEC that we -- our reviewers initiated a review. They concluded the review, they found no culpability on the part of the company, and an appropriate no action or an equivalent letter was received. However, as expected a shareholder law suit was filed by law firms that historically profit from such situations, and we settled this blackmail for a nominal P&L amount. So finally, we are totally finished with that . And of the more significant developments to emphasize, it is the fact that the Internal Revenue Service in this year completed the audits of our tax returns for the four years ending in 2005. And importantly accepted the deductibility of certain items related to our inversion that had previously been questioned, confirming again that the company acted appropriately in the inversion transaction. During the year we also [dividend deduct] to our international holding company, our holdings in Epoch and Canrig our manufacturing into this. The purpose of this was to divorce this unit from the parents of over reliance on business with Nabors drilling USA. And hence making them more attractive to other customers and that is the reality and hopefully, that will enhance their operations and particularly the marketing. We're also able in this quarter to take advantage of what we thought, still think was in the especially soft stock market, and Nabors stock in the fourth quarter, and we repurchased nearly 4 million shares Nabor stock in the fourth quarter at an average price of $27.12. Considering this in conjunction with the fact that Tony Petrello, Marty Whitman and myself had put serious money investing in this stock earlier in the year. I think you can fairly say that we are putting our money where our notes are in this regard and demonstrated confidence in the company's outlook. Let me now briefly review the overall financial results. In the fourth quarter we posted $0.78 a share, this range represents the sequential increase in operating income over $21 million which yielded a $0.10 increase in earnings per share increment. Fourth quarter benefit from significant improvement in operations and several of our units, including seasonal improvements, and a favorable tax adjustment in Canada where I think step three purported or proposed five step reduction in federal taxes will occur. Also included in the quarter was a net gain of $0.08 per share in operating income from oil and gas operations, resulting from the sales of the properties in the Barnett Shale which we highlighted in our last call. This is the net number, which includes an offset by a number of wells that were written off in that operation. We were again impacted by the fixed income market turmoil in the fourth quarter and incurred some losses in our final fixed income fund that has been proposed and we've been unable to liquidate. This resulted in another loss, but much smaller, but still not welcome. The good news I think is this brings the balance to $26 million out of a $1.3 billion invested. The only remaining debt fund and this has no leverage, so I believe this is a conservative evaluations reflected in the fourth quarter loss, probably means that we won't take any further losses and might take a modest gain from the 26 million by this year. Collectively these items take the full year to 3.13 from continued operations and $0.12 per share as a result of the discontinued operation namely Sea Mar for a full year result of 2007 compared to last years 3.40. During the year we also, we had some issues, which are rapidly being resolved and quality and completeness of components from one of our fine vendors. We settled this claim during the year, by getting an 18% equity position in that company. That company plans to go public and if and when they do, this will give liquidity to us in this investment, which in effect even though its not dollar-per-dollar, this will effect more than offset problems we had from that vendor. Last but probably most importantly, I want to highlight a list of operational achievements, which significantly reflect the long-term value of our company, versus the performance of our new pace rigs. In the last few months, they have demonstrated the technical and operational excellence that we envisioned when we developed them. And in my mind makes them now, at least the equal of any rig any where. In the last quarter alone, these new rigs set more than 20 new drilling records from multiple operators, in multiple regions, especially in fast growing regions like East Texas, the Barnett Shale, parts of the Rockies. And I suggest to you guys, listen to what the operators were saying about our rigs compared to our competitors rigs compared to what our competitors are saying about their rigs. We also continue to achieve excellent results and multiple records with our existing rigs as evidenced by receipt of Shell's worldwide Land Rig of The Year award. We’ve received it three out of last four year and I think we should get more of Shell's worldwide business because of this. This is particularly, I think, important because we consider, I think most people do, Shell as one of the most, if not the most performance safety conscious operator n the world. Next we capitalize on fifty years of experience in the Artic environment, Canada and Alaska, combined with the expertise infrastructure reputation of our international operation, to achieve greater penetration of the Russian market. We’re ready to have nine rig commitments there, all of which should be working by year end, and hopefully we’ll get more. And there again, you can look at the operator’s announcement of introducing us with another competitor other than our main domestic competitor, as introducing competition and technology into the Russian market. Finally, our long history in Saudi Arabia track record of excellent performance there. The extent of our employment of our Saudi nationals in our existing infrastructure, allowed us to secure too high value contracts for jack-up rigs. They will commence, hopefully very well in the second quarter. It was however a challenging year for our North American rig operations, excluding Alaska with a significant drop in income in both drilling and work over in U.S and Canada. In the aggregate the drop year-to-year amounted $381 million and reduced operating income, more than half of which was offset with increases in international operations in Alaska and other operating segments, as well as our oil and gas operation. This coupled with a lower weighted average share count and a lower effect tax rate, served to mitigate the impact on earnings per share, which were down from 340 to 325 or 4% drop. We expect any declines and there may be some in the North American income in '08, will be substantially less and largely, at least largely hopefully offset by growth in our other subsidiaries. I'll talk briefly now about each of these delegates. Canada, we now have 44 rigs working, the tables indicate the details about this operation. Canada improved seasonally during the quarter, although its $25 million in operating income was not much more than half of last year. Basically from an operating income viewpoint, we went from close to $200 in 2006 to $87 in 2007 and we expect '08 will be essentially half that in operating income. The unit remains the key supplier of rigs to other Nabors unit. By the end 2008 Nabors will have explored 13 new rigs and one existing rig to our international operations to Alaska and to the team into the lower 48. The potential of exploring another 3, 4, 5 rigs is pretty high. Lower 48, operating income increased sequentially in the fourth quarter over the previous quarter, but the full year was just under $600 million in operating income, creating a deficit of over $225 million roughly compared to 2006. As I mentioned earlier, we're seeing a dramatic improvement in the performance of our new builds in terms of reduced downtime, and reduced costs and expect these rigs will achieve their full margins by the end of the second quarter and hopefully earlier. By next year we expect to deploy at least 12 new rigs, which will bring our total of new rigs to at least 81. Other achievements include a very smooth start up in Wamsetta for rigs for a very important customer. And renewal and extension of our existing contract with Shell, which now includes a 100% of their land operations in the United States and Canada, and which they value had over a $1 billion. With respect to 2008 day rates and margins this is a little bit complicated when we try to go through to it as we understand it. There are four moving parts, first there is a direction in magnitude which changes in the leading edge rate. Frankly these are on over it. These we believe have started to stabilize. But only after creating a significant spread between the highly capable rigs and those that are less capable. The other factor is that we are going to have to renew some 46 existing rig contracts, which term contract expire in 2008, almost half of them in the first quarter and these will be replaced at the lower leading edge rig, lower than the contract terms. Hopefully not lower than they are at the moment. This overall thing is offset by the number of new rigs, we have yet to deploy at higher rates, in other words the new rigs are at higher day rates and even more important from our view point is we are improving the down time and cost on these rigs. So you put all these factors together and I think the conclusion is we expect about 20 of our term contracts and over rigs to roll over in the first quarter. The result of all these is we could easily see a significant drop in the first quarter, mostly percepted by these rigs coming off contract. But we see a pretty much limited downside from thereon out. The big picture is, we believe that we're nearing the end to the decline in domestic drilling and I think we will see if not the bottom, we will see absolute signs of the bottom during this current year. And as you have seen this result, what I just said should turn out to be the case, will mean the world didn’t end, as many people thought it would. And things are not as bad and won't be as bad as many prognosticators thought. Just to tell in the picture, we at present have 89 stack rig and we’ve transferred 19 stack rigs in addition to the international market. Our well servicing business continues to decline, now $12 million in the quarter, operating income which makes the year ago from $200 million in operating income the previous year to 156 in '07, which is a little surprising considering oil prices still hovering around $90. We expect this probably will continue, although we frankly are expecting that we will maintain our modestly improving, or at least maintain our operating income '08 versus '07. The weakness mostly is in West Texas, South Texas and Oklahoma. But other regions, in particular California are doing much better. The California market where we have largest contract, crack contract with 40% of the market comprises 37% of our rigs and 50% of our rig income. So, the story in work over is not great, but our position is pretty substantially mitigated by our California position. Our offshore was one of the disappointing, disappointments last year we’re down $1.2 million, operating income for the quarter. [$48] million for the year, we went from $65 million operating income the previous year to $51 million last year. We were negatively affected by under utilization of the jack-up, large jack-up small jack-up fleet and there is one, on one of our new barge rigs, which kept it out of service for most of the year. 2008 will be better in my view and the first quarter is indication of that. We’re considering some considerably higher utilization in our higher margin jack-ups and barges. Continue to do utilization and pricing strength on our platform rigs. Nothing to write up, but it's up and we expect to benefit by three rig years, availability of our barge rigs instead of only year and a half last year. In Alaska our operating income exceeded $37million for this unit in 2007. This is more than double, this is strictly drilling, and more than double last years results on the increased utilization and pricing. We have multiyear contracts with three new builds. Two of which are heli-portable which commenced operations in the fourth quarter. The third rig is the state-of-the-art 5,000 liter, AC Hybrid rig Coiled Tubing and stem drilling, and this really gives us, I think, a whole suite of coiled tubing, AC rigs, almost and stem drilling rigs that nobody else has. We have 1,500 and 1,800 meter rigs that we are marketing in the states. We have a 3,000 horsepower rig that we’re preparing for a use in Russia and we have those signed contract for 5000 meter rig in Alaska. On oil and gas, we reported in the third quarter press release that we completed the sale of an acreage position in the core of Barnett Shale. We’ve discussed these before. We continue to look at our E&P operations. And if we think we can do better by selling them and drilling them out, then in the future we do it that way and if we can consider -- we considered operating income as to the accounts you want to consider it unusual or non-recurring feel free. But this quarter resulted in a gross gain of $88 million. We wrote off $38 million of which -- we're on a successful methods basis. If we run at total cost I'm not sure that we would have had to write that off, because some of those wells had discovers and we're producing from them. New projects, our new projects is a handle to our NFR joint-venture with first reserve and we've made significant investments in this business. We've good success in finding really good projects to invest and with the improved gas market recently we've done an appreciable amount of hedging, well above the prices that we used when we decided to make the investments. Our other operating segments are doing pretty well and I won't spend too much time on that except we're up there. Small but up. International has been doing pretty well. We now have 121 rigs working. Tables go through the details of each rig. I think the important thing is that overall we went from $200 million last year to $332 million this year, operating income wise and we're going to have a healthy increase next year. Healthy increase is such that I expect it will be knocking on or beating $0.50 billion in operating income next year. We commenced term contracts on 19 incremental rigs, 9 of which are new builds, 8 others are transferred from our North American land operations and 2 are offshore rigs, the small jack-up and platform rig that commenced operations after being stacked. We also secured contracts for another 13 rigs, the most of which will commence operations in 2008 or early 2009. And I think we easily have a potential for at least a handful or more awards this year. As I said we expect 2008 will be stronger than 2007 based on rigs renewing at market prices, a lot of which has happened already and contributions from rigs being deployed or they will deployed during the year. Two important contributions we should mention are these two jack-up rigs that are going, one of them going from Arabian to Saudi Arabia a smaller jack-up, but jack-up exemplifies general principal of increasing realizations per rig internationally. The day rate is probably $65,000 higher than the four year contract that's coming up. In addition to this our rig 660, which is a brand new rig that we have speculated on, but we had pretty firm idea that this drill work is as also going to work in Saudi and this at a very high day rate, well, a very good day rate as high as any of the rigs that are now being awarded in Saudi Arabia even though its not really a harsh environment rig and also its kind of big business, big as some of the others and we'll probably make more money than most of those guys, because the rig rate is about the same and our cost are probably lower due to our lower operating cost, because of our established Saudi infrastructure and also our Saudi work force. Financial position, let me briefly discuss our overall financial position. At year end our balance sheet remains extremely strong. Cash and marketable securities on hand approximately $1.1 million, I am negotiating with Bruce Koch, I think that number should at be at least 1.25 million, with reclassifications, but either way it is not bad. This is slightly down, we anticipated late in the year, as late in the year we spent over $350 million on E&P projects that came earlier and more attractively than we had anticipated. And we also spent a $100 million on repurchasing stock. We would have preferred to wait next year to repurchase a stock except the $27 price we got was too good to pass up. We hope that proves to be the case. We expect to do more of this in the future, but funded from cash flow. Next year, we expect our cash flow to be reasonably high, and CapEx to be reasonably low such that we think from operating cash flow, we would be able to pay up the $700 million convertible note that's going to be put to us in June. Whether we do this or not remains to be seen, we may decide to finance some of that, but in any event, the fact though we will try to limit our stock repurchases to the cash flow generated by operations. I think tax rate this year was 21.4% and we expect the 2008 tax rate to be 22% to 24%. In summary and I won't summarize too long we have 140 new build rigs and 40 leading edge coiled tubing rigs built in the last couple of years. The funded rigs are AC, PLC and with the bulk of our existing four rigs worldwide representing some of the most highly capable rigs in the world. This is substantiated by the dominant market positions and multiple international venues in the Alaska, in the lower 48. While we don’t make definitive projection, I’m pretty convinced that in the next year, we’ll see evidence, if not the actual bottom of the lower 48 drilling gas directed market. I’m equally confident and at the same timeframe, will produce in signed contracts and bottom-lines that demonstrate the tangibles conversion of international prospects to bottom-line benefits. Combination of these events, I see the bottom and may be the upturn in gas-directed markets and demonstrate what we can do internationally, I think, will not affect our bottom-line, but our perception and ultimately our valuation efforts. That covers my prepared comments. Joshua, well that’s the end of formal remarks so we are ready for the question and answer session please.
Operator: (Operator Instructions) Our first question comes from the line of Angie Sedita, Lehman Brothers, Please go ahead.
Angie Sedita - Lehman Brothers: Thanks. Good Morning guys. Gene, are you, its clear you indicated that we have not necessarily seen the bottom quite yet and part of that is just to, we’re drilling over off a lot older contracts, particularly in the first quarter. What do you’re seeing on leading edge day rates? Do you think that we still have pressure potential? We’ve been stable here for a little bit or not quite out of the woods yet? And then, I have also heard from one of your competitors that there is some pressure to give better terms on mobilization and some of the smaller companies have been doing this and thus putting pressure on the larger companies to do the same?
Gene Isenberg: I think all those things are true but I think net-net combination of a diminution of new built supply arriving and a real good gas strip, means that I think we probably, nothing is a 100%, but I think we're probably really out of the woods in the context that we described, i.e. not counting roll-overs and the high price of leading edge rates. So I think one has risk and nothing is that sure, my guess is that perhaps the bottom on the leading edge still very bristle.
Angie Sedita - Lehman Brothers: And do you think that to see an increase in drilling activity, do we need to stay at that $8 mark or do we need to be closer to 8.50 the 9 to considering how large scales some of these E&P programs already are for this guys to actually add rigs to what they're doing today?
Gene Isenberg: I think this price is pretty good. We're a little bit in the E&P business, because of our joint venture with First Reserve and we've spent almost $250 million of share of CapEx. So we spend over a $0.50 billion on this, mostly in the lower 48, and mostly they were justified prices below the prices on which we can hedge now and are hedging it now. So while I think $8.50 or $9 is better, actually the strip is pretty close to $8.50 big quarter or something like that. I think those prices are perfectly fine for us, frankly even increased activity. We has had a little bit of an operated that we are we would increase that activity, if we could do well double the number of deals we did already and kind of terms we did at these prices.
Angie Sedita - Lehman Brothers: Great. And then my final questions is on rigs that did not even work let's say in 2007 and haven't worked in the last couple years and then also looking at some of the rigs maybe that did work in 2007 at your conventional rigs. Is there any willingness or desire or review to take some these rigs out of the supply and retire them and as now habit as part of your inventory of rigs?
Gene Isenberg: We can just reduce the number of them and make everybody happy. If there is a rig there that might work and we have no use of the components that we could take off, I'd like to (inaudible) why shouldn’t we have it there contingently available if it's needed?
Angie Sedita - Lehman Brothers: So I guess your thought or is it the market…
Gene Isenberg: We are using a lot of international not the ones that haven't used for worked for a long time, but we move to large number internationally, which we're uniquely positioned to do, but not really the small type of rigs.
Angie Sedita - Lehman Brothers: Okay. So are there any, what are your thought as the market starts to potentially improve in the second half, the first step you guys would take would be to un-stack some of these rigs that worked in 2007 or would you look to potentially to move pricing first?
Gene Isenberg: We've been in this business and I've been 20 in this roll we have seven years and that's been the question forever. So I think we balanced both of them and I can't tell you what the answer is. I think you will notice that lately we've been giving up market position, but I've said from time to time that we won't do that forever. So that means we've been keeping good eye on the price because we think the quality wants but I can't tell you what the answer. We'll do both that as shortly but we will do.
Angie Sedita - Lehman Brothers: Great. Thank you. Thanks, Gene.
Gene Isenberg: Thank you.
Operator: Our next question comes from the line of Marshall Adkins Raymond James. Please go ahead.
Marshall Adkins - Raymond James: Good morning everyone. Gene, you have some very helpful slides in the presentation and you had given a bridge kind of from '06 to '09 to help us understand where the business is going all those were helpful but I want to try to drill down on the international side. I presume the reason we're not, that you don’t have in '08 kind of bridge there, is the timing of the international rigs is going to be a little uncertain? And it certainly has been over the last year, but can you give us some sense of what's going on there and timing for the next two, three quarters and what I am really referring to is, it looks like sequentially your international rig utilization was down, but you just mentioned, now you are backup, I think you said 121 rigs internationally today. Can you help us with where that’s going in '08?
Gene Isenberg: I think the only reason it was down was probably, six rigs or so, in Mexico with those storms and floods etcetera. No, I think we will deploy two new jack-ups, big time money, during this year probably, hopefully, by the end of the first quarter. We will deploy 8 incremental rigs hopefully by the end of first half or not much later than that to rush up eight incremental rigs. We have incremental land rigs going to variety of places. And I just think we have rigs rolling over and I think its going to be, as I said I think '08 will be, I will say no, I think at least $0.5 billion, I don’t want to too exuberant here. At least $0.5 billion, which is like a 50% increase again on the earnings increase for '07 versus '08. And I think, the number of increase we get, the analogy I think I gave you, last quarter is still true. I think the heated search for rigs that we saw domestically eighteen months, two years ago, this happened internationally except for international purpose, you can't take an old rig out of the rigs and make it working. They are pretty sophisticated operators including international oil companies and the majors generally. And you need high-quality rigs which -- the number of people who can supply them is pretty small. The answer is, these year its pretty visible, both in terms of incremental rigs and rate increases and I think next year its not as visible, because we don't have the contracts signed, but in terms of the flow of request for rigs and the average we haven't converting them to successes, it should be a big increase again, a big dollar increase whether we keep these high percentage increases a lot of barge numbers eventually takes over, but I think international was that’s isn’t going stop any time soon.
Marshall Adkins - Raymond James: Good. The second question that I have is, it seems like you are being awfully conservative on the well servicing side and again the presentation looks like you have one of the newer fleets out there, you are bringing on a lot more incremental new rigs and your current guidance there flat numbers. Are you being overly conservative there or help me with the well service side?
Gene Isenberg: I hope so. I am talking with the guys running here then they are not looking to double their income. We have really competitive market and I think the situations probably would be worse if we didn't have this strong position in California as I tried to outline.
Marshall Adkins - Raymond James: Does that mean they are going to be retiring some of the older rigs then?
Gene Isenberg: Absolutely, voluntarily or otherwise.
Marshall Adkins - Raymond James: Okay. Alright. Thanks guys, very helpful.
Gene Isenberg: Thank you.
Operator: Our next question is from the line of Kevin Simpson, Miller Tabak. Please go ahead.
Kevin Simpson - Miller Tabak: Thanks. So Gene, I was going to go the opposite way on the well service, which was well below where I expected it to be, even though I was looking for it to be down. Was there anything unusual in the quarter in 4Q that you mentioned that I might have missed or didn't mention and you could talk about? And then I guess what gives you the confidence that, that market is not deteriorate further there's still a fair amount of capacity out there?
Gene Isenberg: I'll let Jim or Denny respond to that.
Jim Payne: I think when I look at 4Q '06 to 4Q '07 what stands out half of the operating income that we lost were due to 24-hour rigs. And these were rigs that well servicing deployed that are small drilling rigs or sidetrack rigs and the market dropped away. So there wasn't much of a market there. And then the other half was rate and hours in basically most of Texas. And we are seeing a slight pickup in the 24-hour rigs and we're continuing to see pressure on rates an hours on our daylight rigs. So it's basically a combination. The 24-hour rigs we only have north of 20 of those running, but and when they are running in a hot market you get good day rates for them.
Gene Isenberg: And margins
Jim Payne: And margins
Kevin Simpson - Miller Tabak: And Jim is that a function of that they're cutting the 24-hour rig, 24-hour operations. Is that a function of just budget money disappearing or you really wasn’t' -- you didn't see the same kind of pull back in the land rig market, which stayed pretty flat and stable?
Jim Payne: Well, I think it’s a combination of budget money disappearing. I know in our California operation we lost a couple of our small drilling rigs out there and then our South Texas operation we only have five of the 24 hour rigs in South Texas and only one of them are operating in the fourth quarter. And so -- and that was budget, two of them are working for Shell and two for Pioneer and they just didn't have the locations for.
Kevin Simpson - Miller Tabak: Okay. And then Gene an international question. You've been optimistic and the numbers have been good, but they've been less good than I think than the implicit forecast or almost explicit from you over the last year or so. So do you feel like you have built in enough contingencies for stuff going wrong like say Mexican floods that probably had meaningful impact on the 4Q result in your kind of $0.5 billion estimate for this year, which is little actually higher than where I am, but not very high or so or close enough to each other?
Gene Isenberg: Yeah, looking at 480 or 490 or some.
Kevin Simpson - Miller Tabak: 480, yeah, 478. So the question is – that the question whether there is enough of the contingency that's been built in because it just seems like there are a series of one-off just because you are in so many markets that become a regular occurrence?
Gene Isenberg: No, I agree and that's why frankly, if everything were to go perfectly it would be higher and we will see whatever it is. It's going to be good whether it's a month later or month earlier in mobilization where you have start-up costs that are X million dollars higher than they should. Sooner or later and the later isn't more than a quarter later you are going to get where we think we are, but even delaying a quarter is big time. From the jack-up if that's not there -- if that misses a month it's times $174,000 a day, so a lot of money on the one jack-up.
Unidentified Company Representative: This is [Ziggy]. I think we have a good upside in our forecast. We have also the downside in this. So I think there is a good confidence that this numbers can be achieved.
Kevin Simpson - Miller Tabak: Okay. Thank you. That's it for me.
Gene Isenberg: Thanks, Kevin.
Operator: Our next question comes from the line of Geoff Kieburtz, Citigroup. Please go ahead.
Geoff Kieburtz - Citigroup: Thanks, good morning. When you talk about the sequential decline in lower 48 margins for the first quarter, are you thinking back to third quarter levels or something more severe than that when you mix all the four factors you mentioned together?
Gene Isenberg: I don't remember third quarter levels, but it could be $700 to $800 a day in the first quarter, because of the large number of rollovers, but from then I think the new -- the old rig would more or less stabilized in my view, because the bulk of that rollovers will have currently -- I am assuming that the leading edge rates won't deteriorate further and on the new rigs we'll have new rigs deployed number one better starting off margins than we have historically and importantly, will be improving and reducing the downtime, improving costs on the m-rigs and in the PACE rigs is such that that margin will increase too.
Geoff Kieburtz - Citigroup: Well, that was actually one of my follow-up questions.
Gene Isenberg: You should look for potentially a drop in the first quarter. In that too, also there are a bunch of costs that occur in the first quarter only, like workers comps and stuff like that.
Geoff Kieburtz - Citigroup: Right. In terms of -- you've talked about having improved the efficiency of the new built rigs. Where are you in that? Are we seeing in the fourth quarter the full effect of having resolved those problems?
Gene Isenberg: No.
Geoff Kieburtz - Citigroup: Okay. Can you give us any sort of sense as to what percentage of the targeted improvement you can see in he fourth quarter results?
Gene Isenberg: I don't know. Probably, $300 to $400 a day, that sort of thing.
Geoff Kieburtz - Citigroup: Okay
Gene Isenberg: We are just not sure if we are going to multiply it by large numbers of rigs. But I think what we are saying specifically, is we're saying anecdotal and a large number of anecdotes that the rigs that we have, got to the point where we wanted to. Both in terms of technology and cohorts and all that other stuff that's relevant to getting from where we want to be from where we were. And we're getting all kinds of and favorable comments and emails. A record here, a record there, I drilled a well so much quicker than a couple of wells and don't know what to do with the rigs of two weeks, which is a high class problem and we try to help a bit. I think I said we probably have close to two dozen of these reports and we only have 70 odd rigs or 65 rigs and including every kind of rig. You know, the rigs we have m-rig, we have an f- rig, we have our Sundowner type rigs, and for every single one of them we have records and increasingly number of records and good reports and stuff like that. So the trick is to get those good reports from anecdotal number to 100% and we're not 100% yet. But I think we will be, by the middle or second quarter sometime. As I said earlier, we have this settlement which probably won't be reflected in operating income ultimately. But from a broad economic viewpoint, we're going to get compensated for what we are having to go through now.
Geoff Kieburtz - Citigroup: Okay.
Gene Isenberg: Long answer to a short question.
Geoff Kieburtz - Citigroup: No. That's fair. And you did comment that the offshore performance in the quarter was a little bit disappointing. What do you see going on there and what would your forecast be for improvement?
Gene Isenberg: I think if things go reasonably well, we'll fight to get back to where we were in 2006. But it's not a monster number for us.
Geoff Kieburtz - Citigroup: Right.
Gene Isenberg: 65 or something, operating income. In other words, it will do better. But we don't know. We have three of the best large rigs indeed. And two drilling rigs and third one is either a deep work-over rig or a shallow water drilling rig, they're all 7500 PSI. And they have just one -- these are world class. Last year we didn't because of an accident and other issues, we didn't have half of them available for working, and I think they all should work. We have good rigs and we have good position on the deepwater spars and stuff like that. But the market isn't willing and we're still, burdened with a sizeable number of really shallow work-over jack-ups, which there is a bottom end to the totem pole.
Geoff Kieburtz - Citigroup: Alright. And then my last question is just Canada's performance in the quarter. I appreciate you have given us your outlook for the coming year, but was there anything unusual in the Canadian performance in the quarter, because it was a pretty dramatic improvement?
Gene Isenberg: Yeah you are right. We had catch up payment from one of our -- in Canada we just committed to our guys call the metric year, which is not 365 days on a full term contract. And one of our customers missed, and we negotiated. But we have a fairly sizable payment, which probably is not correct. But in following sense, we would have got that money over the year, which was a catch-up payment if they had done what we mutually agreed with them. But that was unusual.
Geoff Kieburtz - Citigroup: Okay, alright. Thanks very much.
Gene Isenberg: Thank you.
Operator: Our next question is from Mike Urban, Deutsche Bank, please go ahead.
Mike Urban - Deutsche Bank: Thanks good morning. Gene, from time to time, actually quite a bit, expressed frustration with the valuation and you said earlier you and the rest of team putting your money where your mouths are, both individually and as a company. If you are able to execute on all of the initiatives here. So U.S. bottoms out and hopefully turns, as you would expect. International comes on as you are planning, and you continue to see kind of stagnation, the valuation or the stock price. Is that just the market and you just have to continue execute or are there things that you could undertake? For instance, you want to live within your means with the buyback. Do you accelerate that or are there other steps that you could take to unlock some of the value here? Just would be interested in your thoughts there.
Gene Isenberg: I don't know, and we haven't. I think what we worry about is, we spend time anyways, getting the contracts that are making international stuff, look better reducing the cost and getting the contracts that will make these rigs do better in the states. During deals like we have done with Shell, including Canada that makes that look better. My feeling is that if we do what we are supposed to do, the rest will take care of itself. And right now, I think we are looking at buying back stock and we are constricted of tiny (inaudible). We don't want to in effect order, buyback stock as a principle. We would like to keep our investment grade rating and I think if we start too much money outside of the company, that won't help that situation. When we have done what we need to do in investments, then that's a logical thing to do. We have no plans for anything else. If you have any good ideas, send them over.
Mike Urban - Deutsche Bank: Will do. The rest of my questions were answered. I am all set. Thank you.
Gene Isenberg: Thank you.
Operator: Our next question comes from the line of Kevin Pollard, JP Morgan. Please go ahead.
Kevin Pollard – JP Morgan: Thanks. Good morning, Gene. I just had two quick questions.
Gene Isenberg: We like your brilliant analysis.
Kevin Pollard – JP Morgan: Thanks Gene. The first one, it sounds like the PACE rigs are starting to get the startup difficulty behind them and perform like you originally envisioned and probably your customers originally envisioned. Does that suggest that maybe you can begin signing additional term contracts, add to the kind of 81 or so that you have now or you think that's market is kind of passed?
Gene Isenberg: I don't think so. I think when you get an e-mail from a CEO who is a little hands-on, describing a record. I mean on the NPC, who is a little bit involved in this stuff, not all are, but some are. You feel that if you have enough efficiency, they are going to replace rigs, and it pays. I think I have said it before that some of the old mechanical rigs, there's no price at which they can compete with an m-rig, working the way it should rig, drill as it should and move as it should and inside the deeper parts of the Barnett Shale. You could have the other rig for free and it wouldn't compete. And I think that's true compared to some existing rigs and in fact I suggest you read, we'll make available one or two of the customers comparing our performance on our rigs with some of our better publicized competitors technology. But, I think, forever there are improvements and you do what improvements you can on the existing rigs that has a (inaudible) hydraulic power, that stuff and do what you can to make them move faster. But then, there is a point where you take a step increase and develop a new rig. And I can't believe that in the next decade there won't be improvements over what we think is a great rig right now.
Kevin Pollard – JP Morgan: Alright. So it sounds like there is a good chance you could add some more new build PACE rigs into the market over this year. Will you continue to acquire a term contract commitment from the customer to do that, or is that something that you would begin to gradually build up on, just as part of recapitalizing the fleet?
Gene Isenberg: No. As you know, we have done that without the contracts, because they weren't available in the work-over business and it's much more comfortable to do with contracts, as we do domestically and internationally. So, I don't see it changing. I mean, if the guy really wants it, he is going to commit for it. If he doesn't want it, he will get it from us anyway.
Kevin Pollard – JP Morgan: Okay.
Gene Isenberg: I don't think anybody else is frankly committing to new rigs without contracts, on any substantial size.
Kevin Pollard – JP Morgan: Okay. And if I could just switch over real quickly to Canada, just as a quick follow-up, your guidance in the press release still implies operating income kind of low $40 million range here, which seems like a sharper drop-off, than the likely declining activity up there would imply. I was wondering if you could comment on why the drop is so steep?
Gene Isenberg: Yeah, you can't make all overhead costs variable. It's simple. When you have decisions, you think the market is going to come back, so do you want to lay the guys off? Canada, it's not employment at will. And frequently, you lay the guy off with XYZ service -- for a moment of period of time, when the market might come back anyway. So there are all kinds of copying it. We are assuming the market will come back. We are cutting some, but we are not just cutting as we would cut if we assume that it was going to be permanently lousy.
Kevin Pollard – JP Morgan: Okay. So you're basically staying kind of staffed up in anticipation of recovery and since they do that only --
Gene Isenberg: We are not cutting as hard as we would have, if we didn't at this.
Kevin Pollard – JP Morgan: Right. Okay.
Gene Isenberg: Also a big chunk of Canada is the work-over business, where it's really odd to make all the operating fixed costs here.
Kevin Pollard – JP Morgan: Okay. That's all I had. Thanks Gene.
Gene Isenberg: Thank you.
Operator: Next question is from Dan Pickering, Tudor Pickering, Holt. Please go ahead.
Dan Pickering - Tudor Pickering, Holt: Good morning.
Gene Isenberg: Hey Dan.
Dan Pickering - Tudor Pickering, Holt: Gene, it relates to the Lower 48, I'm just wondering if from a kind of job, bid or inquiry level are we seeing any indicators of higher demand or it's just not getting worse at this point?
Gene Isenberg: Joseph, what do you think? I am asking Joe Hudson.
Joseph Hudson: Okay. I think the demand we saw in the latter part of the year, specifically down the Gulf Coast and South Texas, we are seeing pretty stable demand run now, Dan.
Dan Pickering - Tudor Pickering, Holt: And Joe, is there any indications that rates are turning up at this point; is the price deterioration slowing or just price is basically stable right now?
Joseph Hudson: Well, I think pricing is pretty much, I mean, as Gene mentioned earlier, with some of our contracts rolling off, I think we've seen the day rates, well, they are going pretty much bottom down.
Dan Pickering - Tudor Pickering, Holt: Okay. Great. And then I know you showed in the handout that I think the January 1 activity level was about 224 rigs in the lower 48, where would that stand today?
Joseph Hudson: Actually this morning was 228.
Dan Pickering - Tudor Pickering, Holt: Okay, great. And then moving over to the international side for a second. I might have missed it in your prepared remarks, but the 19 new rig contracts that you signed, what would be the rough order magnitude in terms of timing of delivery for startup of those contracts?
Joseph Hudson: Coming onto second, third and fourth quarter.
Dan Pickering - Tudor Pickering, Holt: Two, three and four, so they will be this year?
Joseph Hudson: Yes.
Dan Pickering - Tudor Pickering, Holt: Okay. And is there any one major region that's stronger than the other in terms of where the new rigs are going or generally where they had it?
Gene Isenberg: I think they are all Eastern Hemisphere, aren't they?
Joseph Hudson: They are all in the Eastern Hemisphere.
Gene Isenberg: Dollar wise, I would say, 70% jack-ups.
Joseph Hudson: And that's a big jump within the second quarter.
Gene Isenberg: Yes, right.
Joseph Hudson: Second quarter, third quarter.
Dan Pickering - Tudor Pickering, Holt: Okay. So you will have most of these rigs for --
Joseph Hudson: In the second quarter, correct.
Dan Pickering - Tudor Pickering, Holt: Okay. And then, the fourth quarter in '08 CapEx. Gene, you alluded to '08 being a reasonable amount, but care to put a number to that at this point?
Joseph Hudson: Yes. But bear in mind that when we have opportunities, we'll spend the money.
Dan Pickering - Tudor Pickering, Holt: Yes.
Joseph Hudson: In other words the question earlier, well, do you have three-year contract or a four-year contract, in some cases five-year contracts. It paces out with the return if we just spend the money, and we will come down to doomsday. But absent anything unusual, we are looking to probably generate enough money, if we have to, from cash flow pay off. The $700 million convertible put is going to come from us June or July 15. June 15?
Dennis Smith: June.
Joseph Hudson: June 15 of $700,000. So in that sense we think we'll generate cash over CapEx, $700 million for the moment.
Dan Pickering - Tudor Pickering, Holt: Okay. So I think, if I looked at Street numbers as the guidelines for '08 , that would imply your CapEx is going to have to come down. It's probably not going to be much more than $1 billion than in '08, correct?
Joseph Hudson: That's correct, sir.
Dan Pickering - Tudor Pickering, Holt: Okay. And what was the number in the fourth quarter?
Joseph Hudson: That's an again big opportunity that we don't see now. Yes, I'm sorry. There's another question.
Dan Pickering - Tudor Pickering, Holt: Q4 CapEx?
Joseph Hudson: I don't have it right in front of me.
Dan Pickering - Tudor Pickering, Holt: And in this quarter?
Joseph Hudson: Denny is looking it up.
Dan Pickering - Tudor Pickering, Holt: Okay. Thanks Gene.
Gene Isenberg: Any other questions, or are you still online?
Dan Pickering - Tudor Pickering, Holt: Well, it sounded like a fair bit of the Q4 CapEx went to the E&P joint venture. Is that right?
Gene Isenberg: Anyway $450 million.
Dan Pickering - Tudor Pickering, Holt: Okay.
Gene Isenberg: But that doesn't include investment in subsidiaries. Does it? And in addition to that, we spent earlier than that, which affects the overall cash flow, $250 million as share of the first reserve, mostly, and over 88 investments.
Dan Pickering - Tudor Pickering, Holt: Okay, fantastic, thank you
Gene Isenberg: Thank you
Operator: Our next question is from the line of Ben Dell, Sanford Bernstein. Please go ahead.
Ben Dell - Sanford Bernstein: Hi guys. I just have a couple of questions, my first is really is on cost in the U.S. business. They obviously continued to climb quarter-on-quarter when revenue declined. I was wondering if you gave us a breakdown of the cost structure in terms of labor and other segments, and maybe give us some color on labor cost inflation, you also mentioned that 1Q was expected to pick up?
Gene Isenberg: I'll let Joe Hudson to respond to that please.
Joe Hudson: Okay, the labor cost component actually, again in the early days, we did the start up for the new bills. We had a pretty heavy training cost in terms of bringing cruise on early and then training in the field. We are seeing a reduction in that, and so that cost is going down.
Ben Dell - Sanford Bernstein: What about, (inaudible) rigs?
Joe Hudson: No, there is no (inaudible) rigs impact. And if there is, it would be a pass-through to the operator in terms of contractual obligation.
Ben Dell - Sanford Bernstein: Okay, so the primary driver of the increased cost on the quarter was --?
Gene Isenberg: I'd say the cost went down, Ben.
Ben Dell - Sanford Bernstein: Yeah, we went down.
Gene Isenberg: A lot of the cost associated with the new rigs start ups was (inaudible),
Joe Hudson: So there were two issues, one with the pay rates per say, are not generally increasing. For management we have to increase pay because there are all kinds of demands for our rig people. And then as a pretty important file of our PACE rig program is, in fact, that we spent lots of money with technicians, and start ups, and labor costs and downturn and all that stuff. But the end of the tunnel, not only the light but the end of the tunnel was clearly in sight.
Ben Dell - Sanford Bernstein: Okay. Maybe if I can skip across obviously on your investment side. Last quarter you said a similar thing and that you had most of the bad news around and you didn't think there were further charges to come.
Gene Isenberg: Yeah.
Ben Dell - Sanford Bernstein: Can you give us some color on what emerged during this quarter that changed from that opinion?
Gene Isenberg: Well I think there was on one that was frozen that we couldn't get out of. We could have got out on it earlier with a hit, which in retrospect we should have taken. But in any event, it's a debt and it's not leveraged, and they are in a situation where a lot of these things they're no bids for. So they take a pretty conservative picture. I think the point here in simple is that, the exposure to that kind of fund is limited to this one fund now, and the funds down to $26 million. And they were pretty conservative in terms of - they had only a few bids, they took the lower bid and they took 5% or 10% up the low bid. And I just think the world is probably not going to end on these things. I mean there's not a hell of a lot we could do it, if we could get out we would. We cannot get out; all I can do is explain to you what they're telling us. And based on what I know, it's an absolute fact and we only have $26 million left with this specific kind of exposure. And secondly, they way they value that $26 million at least isn't so conservative, and could be well assured. Do I think it will be? I don't. But I'm demonstrably not an expert on this subject.
Ben Dell - Sanford C. Bernstein: Okay. Alright. Thank you.
Gene Isenberg: Operator it's just about an hour, so we've only got a time for one quick question please.
Operator: Our next question comes from the line of Waqar Syed, Tristone Capital. Please go ahead.
Waqar Syed - Tristone Capital: Gene, could you quantify the impact of this non-recurring item on the Canadian income or Canadian daily margins throughout the fourth quarter?
Gene Isenberg: The number was $5 million or $6 million, but I haven’t divided it out.
Joe Hudson: It was basically a payment to look out for a contract commitment that they didn't work the rig the full days through the year, so was essentially income that was earned during the year but it was paid as a shortfall in the fourth quarter. So with that expanded, it's continuing, it's not a one time thing.
Waqar Syed - Tristone Capital: Okay. And also could you tell us what the share count was at the end of the December quarter?
Gene Isenberg: [38 minus 4] or net of something. (inaudible).
Joe Hudson: Put it this way our expectation for first quarter is just under 284, 283.5, it's something like that.
Waqar Syed - Tristone Capital: Okay, great. That's all I have.
Gene Isenberg: It was [280], roughly.
Operator: Ladies and gentlemen that does conclude the question-and-answer session; I will now turn the conference back over to management for any closing remarks.
Gene Isenberg: That's all we have today, and sorry if we couldn't get to all the questions. If there are any, just feel free to call us at any time and thank you again for joining us, and we look forward to speaking to you next quarter.
Operator: Ladies and gentlemen that does conclude today's conference. We will like to thank you for your participation, and have a pleasant day. You may now disconnect.